Operator: Good morning. And welcome to the CBIZ First Quarter 2013 Results Conference Call. All participants will be in listen-only mode. (Operator Instructions) After today’s presentation, there will be an opportunity to ask questions. (Operator Instructions) Please note this event is being recorded. I would now like to turn the conference over to Steven Gerard, Chairman and CEO. Please go ahead.
Steven Gerard: Good. Thank you, Laura, and good morning, everyone. And thank you for calling into our first quarter 2013 conference call. Before I begin my comments, I’d like to remind you of a few things. As with all of our conference calls, this call is intended to answer the questions of our shareholders and analysts. If there are media representatives on the call, you’re welcome to listen in. However, I ask that if you have questions you hold them until after the call and we’ll be happy to discuss them at that time. This call is also being webcast and you can access the call over our website. You should have all received a copy of the press release which we issued this morning. If you did not, you can access it on our website as well. Finally, please remember, that during the course of the call, we may make forward-looking statements. These statements represent management’s intentions, hopes, beliefs, expectations, and predictions of the future. Actual results can and sometimes do differ materially from those projected in forward-looking statements. Additional information concerning the factors that could cause actual results to differ materially from those in the forward-looking statements is contained in our SEC filings, Form 10-K and press releases. Joining me on the call this morning is Jerry Grisko, our President and Chief Operating Officer; and Ware Grove, our Chief Financial Officer. Prior to the -- open today, we were very pleased to release our first quarter results. These results reflected revenue growth in each of our business segments and growth in our core businesses in terms of our operating margin. Now admittedly significant amount of these growth came from our very successful acquisition program yes last year. However, we are encouraged by the trends that we see in our core business namely our financial services and employee services group. As expected we continue to see pressure on our MMP business, whose continuing efforts to become more efficient have not yet been able to offset the decline in revenue. I will at the end come back and talk about the market as we see it. I’d like to also thank those investors and shareholders, and analyst who took part in our investor survey. We appreciate your feedback and we value the insights that we gain from it. With that, I’d like to turn it over to Ware to give you the details of the quarter.
Ware Grove: Okay. Good morning, everyone, and thanks, Steve. I also want to add my thanks to those of you who took the time to provide feedback to us through the recent investor survey. We continually invite value your feedback informally and this survey provides us more formal opportunity to assess how we can more effectively communicate with per shareholders and with perspective investors and see this. So, again, thanks for taking the time. Now as is our normal practice, I want to take a few minutes to run through the first quarter numbers that we release earlier this morning. With total revenue for the first quarter at $234.8 million, this is a 6.3% increase compared with the first quarter of 2012. The acquisitions that we made in 2012, as Steve commented, had a very positive impact on our first quarter. The integration of these operations is going smoothly and the results of our newly acquired operations are in line with our expectations. Total revenue for financial services increased by 6.8%m, total revenue for employee services increased by 9.8%, our medical management professional total revenue increased 5.2% and international practices the total revenue increased by 2.1%. Looking at the operating income margin, when you eliminate the impact of accounting for the deferred compensation plan assets gain or losses the margin was 15.5% this year, compared with 15.1% in the first quarter a year ago. So we're very pleased that we are leveraging this revenue growth and achieving higher operating margins. And thanks to the many CBIZ associates who are working hard to server our clients and working to successfully integrate our newly acquired operations. We're very pleased with our results for the first quarter this year and we continue to have a very positive outlook for the remainder of the year. Now as you look further down in the income statement, bear in mind that in the first quarter a year ago we recorded a non-recurring gain on the sale of our wealth management business, excluding the impact of that gain a year ago we reported $0.37 earnings per share this year, compared with $0.35 per share adjusted in the first quarter a year ago. Now as Steve commented, with organic revenue essentially flat in the first quarter compared with a year ago. This revenue growth was a bit slower than we expected as we look at things earlier this year. We continue to have an expectation that organic revenue growth in 2013 will improve over the eight tenth of percent growth achieved in 2012 and there are several unique things to the first quarter this year that do lead us to this conclusion. First of all, the tax work this year got off to a slow start in the first quarter and I’m sure many of you have noted, the reports citing IRS statistic indicating the slower pacing of returns filed in the first quarter. This adversely impacted our first quarter results and financial services. But as we look at the activity that occurred since March 31st, we believe that we will recover this revenue through the balance of the year as client work could not be completed during the first quarter will get done later this year. As an indicator of this delay and the impact on CBIZ, in the first quarter one thing we have looked at is the number of tax returns that we have electronically filed on behalf of our clients. The number of returns processed in the first quarter this year was down by 16% through March 31st compared to last year. But since March 31st and then through mid-April the number of returns processed increased by approximately 30% this year compared to last year. Our experience in the first quarter is very consistent with what you have likely seen reported throughout news recently citing the IRS statistics demonstrated a delay in the tax filing activity due to the delay in the forms being available later in the first quarter and that is very much in line with our experience. Now also bear in mind that during the first quarter and particularly in the latter part of the quarter our staff within our financial services group is at a seasonal peak workload and our staff has been fully utilized working through tax another calendar yearend related work. Now as you think back through the first quarter, you may also remember the series of winter storms that impacted areas of the Midwest and Northeast and resulted in widespread office and public transportation closures throughout these regions. Now when that happens, some of the work can be done from remote sites. But when these closures happen during an already peak busy season, it is difficult to immediately replace this lost time. The client work still needs to be done but the work gets compressed into a very short period of time, and given the people are already otherwise working on full capacity during this time of year, some of the work simply gets deferred to a later day and this happened to a much greater degree this year than it did in prior years. Now despite these challenges, the same unit revenue for financial services did increase by $1 million or eight tenth of a percent in the first quarter this year compared to last year. We expect the tax-related revenue lost in the first quarter will be captured in the second quarter and beyond through 2013. We continue to believe that organic growth within financial services will be stronger in 2013 than the 2.6% growth achieved last year in 2012. Now as we commented several times during the second half of last year, we are continuing to invest resources in this group. As we strengthen our capabilities and the state local tax planning, forensic accounting, property tax services, and we also build out more extensive team of business development managers throughout our major markets through the U.S. The incremental cost of building these resources has impacted cost by $533,000 this quarter compared with the first quarter a year ago and that translates into 23 basis points impact on CBIZ margin in the first quarter. Now turning to the employee services group, organic revenue declined by $400,000 or eight tenth of a percent compared with a year ago. A major portion of this decline can be attributed to the timing of a carrier commission in our property and casualty area and that was received in the first quarter a year ago and we expect to receive it later in the year this year in 2013. Beyond that compared to the first quarter a year ago, we experienced a decline in our life insurance business. As you may remember, revenue in this area tends to be somewhat unpredictable and lumpy. Now looking at our core employee benefits, property casualty, retirement advisory, payroll and HR consulting services, they all reported strong results and you will note the nice improvement in margin contributed by the employee services group in the first quarter this year compared with last year. Now with the Affordable Care Act and the upcoming impact on employers in 2014 being a topic of intense interest this year, this offer CBIZ a terrific opportunity to help both existing clients and target prospects evaluate the design of benefit plans and develop alternative strategies if needed. Active conversations are being held as we work with employers throughout the country to help analyze the impact of the Affordable Care Act and possible alternative courses of action. Today, within the benefits areas, we have seen improving trends in client retention rates and this is also presenting a number of new business opportunities for CBIZ. Now aside from the delayed timing of certain carrier commissions in the first quarter, we continue to expect good growth opportunities for property and casualty services in 2013. And with respect to retirement advisory services, we’re seeing good growth in clients and related assets and management both good indicators for this business. Now despite the challenges with the timing of first quarter revenue this year on a combined basis, the core financial services and employee services same unit revenue did increase by $600,000 or three tenth of a percent compared with a year ago. Now turning to our medical management professionals business, this continues under the same pressures of lower reimbursement rates and competitive prices -- pricing that we have previously outlined. Now due to several onetime favorable items a year ago that impacted revenue and contribution the first quarter of this year presented a more challenging comparable and we experienced $1.1 million or 3.2% decline in organic revenue in the first quarter compared with a year ago. Now as has been the case in recent years, the number of procedures we have processed continues to grow modestly but lower reimbursement rates offset the impact of the increase in volume. Now also as we have in recent years, we are continually working to reduce our processing cost in this business and we expect to gain further efficiencies in our cost structure throughout 2013. On a very positive note, we’re seeing improving trends in our pipeline of new business opportunities compared to this time a year ago. And the ProMedical acquisition we closed in the fourth quarter of last year’s making a very positive contribution. Now in total as we look ahead, we expect 2013 full year revenue for medical management professionals and the related pre-tax contribution for this group to be flat and perhaps modestly higher than total revenue and pre-tax contribution in 2012. Now as I commented earlier, eliminating the impact of the counting for deferred compensation plan gains and losses, the operating income margin which measures the results I just described in the first quarter this year was 15.5% this year compared with 15.1% for the first quarter a year ago. As you look at our pre-tax margin, bear in mind the $2.5 million gain on sale recorded in the first quarter a year ago. You will also note an increase in interest expense due to our higher debt levels this year that are driven by our acquisition activities that occurred throughout 2012. Now also as you exclude the $2.5 million non-recurring gain on the sale of our wealth management business that recorded in the first quarter a year ago, the margin on pre-tax income a year ago was 13.4% and that compares with 13.4% margin this year. You will also note that the tax rate in the first quarter was 41.7% this year and was essentially unchanged from a year ago. We continue to expect that our full year tax break this year will come in closure to 40% as we believe there will be some favorable adjustments to the tax break later this year. Share account was 49.8 million shares on a fully diluted basis at the end of the first quarter this year and we continue to expect fully diluted share account will be approximately 50 million shares for the full year of 2013. Let me remind you that while we do have a share repurchase program authorized, our intention is to limit repurchase activity to the number of shares necessary to maintain our share count within a close range of the current levels. Now, looking at EBITDA for the first quarter, this was $41.5 million that was an increase of 6.6% over the first quarter a year ago. Looking at non-GAAP earnings per share which outlined the impact of major non-cash charges on our earnings, this increased from $0.49 a year ago to $0.54 this year in the first quarter. Now, for those of you, who have inquired and want to make adjustments for capital spending against depreciation number in this calculation as we have done in the past, this information is readily available under footnote under the schedule in our earnings release. So you can make that adjustment if desired. In recent years, capital spending has been significantly below depreciation expense. But we saw an increase this quarter in depreciation expense as we incurred some spending to integrate our acquisitions. Capital spending in the first quarter 2013 was $1.7 million compared with $200,000 a year ago. And for the full year, we expect the capital spending will be within a range of $5 million to $6 million. Now, the first quarter is seasonally timed and see this normally uses cash for operating activities. As client receivables are recorded within our financial services group and they get converted to cash later in the second and third quarters. This year in the first quarter, we used $14 million of cash and the balance outstanding on our unsecured bank line of product increased from $209 million at year-end to $223 million at the end of the first quarter. Now, the remaining borrowing capacity at March 31 was $48 million, speaking all the amount drawn. Then we expected that will improve as the cash flow improves and seasonally turns positive throughout the second quarter and the balance of the year. Now, the day’s sales outstanding on receivables peaks this time of the year. And at March 31, DSL stood at 90 days and that compares with 90s at the end of the first quarter a year ago. Bad debt expense in the first quarter year was 51 basis points of revenue compared with 33 basis points recorded in the first quarter a year ago. Now, during the first quarter, we also used $1.1 million for earnout payments on prior acquisitions. For the balance of 2013, we are planning our forecasting at additional $10 million of earn-out related payments with approximately $9.4 million plan for 2014 and $8.1 million plan for 2015, with an additional $2.2 million thereafter. So the total obligations right now are about $30 million over the next two to three years. Now, after closing on nine transactions in 2012, including five transactions in the fourth quarter, we're working to efficiently integrate our recent acquisitions. And we did not close any acquisitions in the first quarter of 2013. We continue to expect though that for 2013, we will close between three and five transactions. And we continue to manage a very active list of potential transactions that are in various stages at this point. So to conclude, we continue to see stronger revenue growth opportunities for our businesses this year compared with last year. And we continue to expect a stronger rate of organic growth for CBIZ in 2013 compared with what we recorded for 2012. We continue to project total revenue growth in the 7% to 9% range over last year. And continue to project growth and earnings per share in the range of 12% to 15% over the normalized $0.58 for last year. Now, we're also projecting EBITDA to increase by the same 12% to 15% range in 2015 over the $85.1 million recorded in 2012 and that is within a range of about 95% to $98 million EBITDA for 2013. So with these comments -- I'll conclude and I’ll turn it back over to Steve.
Steven Gerard: Thank you, Ware. Let me comment on a few other items. While we continue to be pleased with our first quarter results and the trends we’re in seeing in the quarter business. I think it’s fair to sight the fact that the general economy as it’s facing small-to-midsize companies is probably best described as sluggish, the original thoughts by most pundits that we’re going to see 2% to 5% -- 2% to 4% growth coming out of quarter. We’re not seeing, quite frankly, we’re not seeing anybody else see it. So we're comfortable with our starting point but the general market is not as strong as we had originally thought it was going to be. As Ware pointed, our acquisition pipeline remains very strong. We have focused our efforts on properly integrating last year's acquisitions but I’m comfortable that our typical three to six transactions if not more will get done this year. In terms of MMP, the encouraging sign for MMP is the fact that their business pipeline continues to be stronger than we’ve seen it before but doesn't mean that they will become clients. But it's more positive note in their marketplace. With that, let me stop at this point, Ware gave you a very complete overview of the quarter and open it up for questions of our analysts and shareholders.
Operator: (Operator Instructions) And our first question comes from Jim Macdonald of First Analysis.
Jim Macdonald - First Analysis: Good morning guys.
Steven Gerard: Hey, Jim.
Jim Macdonald - First Analysis: Hi Jim. On MMP can you tell us what rate impact has been in the quarter and what you’re expected to be going forward in terms of lower rates for the whole business?
Ware Grove: When we look at our revenue per procedure Jim that’s a combination of reimbursement rates and our pricing as to how we capture revenue against that activity. It’s down in the 5% range year-over-year, offsetting that is about 5% to 6% increase in the number of procedures are processed.
Jim Macdonald - First Analysis: And do you expect that that’s going to continue to through the rest of the year again, a little bit worse as we go into second quarter?
Steven Gerard: Well, I think it's going to be about the same. We've been very pleased to see the number of procedures continued to increase, and it’s got stronger a little bit over the last couple years. We are still kind of fighting in the headwinds of pricing and reimbursement rates, so that kind of offsets our ability to make progress. But the 3.2% decline in the first quarter, organically, was most sever than I think we expect for the balance of year. So, as I commented earlier, when you combined the ProMedical acquisition, we are were looking for results in MMP this year to be essentially flat to possibly modestly up over 2012 in total, when you look at the MMP segment for us.
Jerry Grisko: Jim also -- comment were made during his presentation, on top of the pressures that the medical billing industry has witnessed over the last few years and continued this year. I'm sure you're aware that the, sequester basically cut across all parts of the reimbursement business. And as Ware pointed out in his presentation in a minute ago, that’s an incremental $300,000 to $400,000 of revenue and bottom-line hit that we will probably take, having said that, our expectation is what the combination of our acquisition. We expect that business to be up this year versus last year.
Jim Macdonald - First Analysis: And moving over to financial services and the tax impact, thanks for the color on that. Could you just remind me on a, revenue recognition point of view, so if you’ve started doing work on returns in the first quarter, I presume you would still recognize some revenue. So is the revenue impact similar to what you presented in terms of like the return impact?
Ware Grove: Yeah, be careful not to do a direct correlation. But when people work on engagements and they record time against those engagements, we can recognize the revenue. So the issue is first of all, if people can’t start work because the forms aren’t available. We don't record time and we don't report revenue. If people are in the office due to public transportation closures or office closures, the same thing is true. So essentially while some of the work is done, if they're already booking at 90% to 100% plus capacity to begin with, they just don’t have the capacity to make up for that lost times still within the first quarter. So that revenue will end times, still needs to get recorded, still needs to get done for clients and then it will spill into the second quarter and beyond, as we work on extensions and those returns that got filed by April 15th.
Steven Gerard: And that’s an interesting comment, I mean, how much do you think will still past April 15? I mean, is it going to be massively significant this year share? Yeah. That’s very tough to say because once the client realizes that they are not going to make the April 15 a filing date. Then, what tends to happen in the industry is the accountants who have been working 80 hours a week up to that point, tend to take a little bit of time off at the end of April and maybe the beginning of May and the client’s expectations are moved out. So it’s not clear at this point, how much comes in the second quarter and how much comes in the third quarter? But we know by the end of the third quarter, our top 50, pretty much the end of third quarter. Most of it gets picked up and it’s very, very hard to determine at this point exactly where it flows in.
Jim Macdonald - First Analysis: Okay. I will get back in queue. Thanks.
Operator: And your next question is from Josh Vogel of Sidoti & Company.
Josh Vogel - Sidoti & Company: Thank you. Good morning, guys.
Steven Gerard: Hey, Josh.
Jerry Grisko: Hi, Josh.
Josh Vogel - Sidoti & Company: You already did a great job of covering most of my questions. But I had a question about project based work. Can you just give us an example of what the project based work is and where it trended in Q1 versus a year ago?
Steven Gerard: Yeah. That’s also. We don’t have a -- the project based work is a very small piece of the first quarter revenue. But we can point to a fairly significant project that happens to be in our Midwest, Kansas City region that in fact, we expect will be greater -- significantly greater this year than last year. But it all got deferred where some work -- significant work was done in the first quarter last year. It's getting deferred into the second, third and fourth quarter this year. Beyond that, I don't know that there's a lot we can point too because typically the first quarter is nose down, grind out tax and year-end related audit work.
Josh Vogel - Sidoti & Company: And I know it’s still early here. But if you’ve been having ongoing dialogue with clients regarding healthcare reforms, do you still see this as being a net positive for your little long-term?
Steven Gerard: We definitely see this as a net positive. We're probably the only company in the country that has under one roof of both the employee benefits piece and the accounting and tax piece. So we are in active conversation with not only, all of our major clients but a very, very long list of prospective clients and it’s all related to the affordable care act. How that may affect them? What kind of advice they are getting and will be getting with respect to the value of the exchanges where exchange is maybe applicable and how to restructure there workforce, so as to eliminate the penalties or mitigate the penalties. So this will continue to be in 2013 and well into 2014, an important revenue driver for us. We can't quantify exactly how much it is. But we can tell from our pendings client and prospect was the amount of energy that’s going into it. I think that the current confusion and the current inability of both the federal government and most state governments to define what their programs are going to look like is going to mean that this will be a topic of conversation for not only the rest of this year but for 2014 as well.
Josh Vogel - Sidoti & Company: Okay. That's helpful. It’s all I have right now. Thank you.
Steven Gerard: Thank you.
Operator: (Operator instruction) And our next question is follow up from Jim MacDonald of First Analysis.
Jim MacDonald - First Analysis: A couple more, first, a follow-up on the ACA question of Josh’s. So, in terms of brokerage -- benefit brokerage commissions you don't see any change in there. You don’t see your customers moving to exchanges or something that might impact commissions?
Steven Gerard: At this point, we don’t see anything significant. Most of the dialogue about exchanges have indicated that they will cover brokers, number one. Number two, the movement of the exchanges initially are going to be for the small group while we have a lot of small group clients. That's really not bulk of our revenue at of our benefits business the 80 plus percent of revenue comes from clients about 50 lives. We don't see that as any significant issue right now and in fact, given the ever-increasing confusion as to what this is going to look like we're actually predicting a very, very, very small amount of our small group is going to move. You may be aware that registration or enrollment for this is October 1st, not even in January 1st, it becomes effective January 1st. And I can tell you with a high degree of certainty today that most jurisdictions are just not ready. So that's why I say I think it’s not only an active compensation this year but it will be next year as well.
Jim MacDonald - First Analysis: Okay. Just some more technical things, G&A seemed a bit lower than I would have expected. Is there anything special there and maybe you can give us an update on kind of lawsuit related costs?
Ware Grove: Yeah. I think -- well, first of all, I take your second question, the lawsuit related cost maybe down a little bit this year over last year, not a significant piece of the G&A but a small part of the G&A reduction. And you just see a general reduction in headcount compensation related expenses throughout as we gain efficiencies and do what we need to do.
Steven Gerard: You might also be interested Jim among the items listed in the 10K when we filed it was the mortgages limited litigation. And recently lease settled with one group alleging $53 million of losses and that case was settled without a payment by CBIZ. We gave and we received a full release of all claims. And I expected that will -- that will be affirmed by the courts any day now. So as an update to the information that was in the K, just know that one part of that has been settled. As we’ve explained before, we don’t believe we belong in those suits and we believe we’re going to get out of them.
Jim MacDonald - First Analysis: And one more technical question, the bad debt expense you mentioned was up a little bit. Any reasons for that?
Ware Grove: No Jim. I don’t think we see general degradation across the board, nothing like that. We might have had a couple of specific items that we looked at where we took some reserves. You may remember that normally bad debt comes in right around 65, 75 basis points. So on the first quarter, slightly lower than that. But it was a bit higher than what it was year ago by 20 somewhat basis points.
Jim MacDonald - First Analysis: You expect that to be trending back to normal this year?
Ware Grove: Yeah. We do. We don’t see any reason why it shouldn't but we have a pretty robust monthly review of aged accounts and status and updates. And we make those calls when we need to as we go through the year.
Jim MacDonald - First Analysis: Okay. Thanks very much.
Operator: And the next question comes from Robert Kirkpatrick of Cardinal Capital Management.
Robert Kirkpatrick - Cardinal Capital Management: Good morning. Steve, could you talk a little bit about when you expect the drag in financial services from these investments to turn to neutral and then to a tailwind please?
Steven Gerard: Rob, that’s under very active review. These were for the most part very experienced, qualified people who joined us, but because of their prior employment agreements could not bring our clients with them. So we made heavy investment. I would, certainly expect those investments to be showing a positive results this year. I can pick a quarter. I think -- but we are paying close attention to make sure we’ve made the right calls in each case. But I would expect -- I would hope that the expectation when we did this was that we could be -- we could be paying for this for a year or so but once they're in the market entrenched and know how to use to see this network, we should be seeing on a quarterly basis, positive returns. We haven’t seen that yet but I'm hoping to see at this year.
Robert Kirkpatrick - Cardinal Capital Management: And then where are the 533 number? You say it was the incremental over last which had some of those expenses in it last year as well? Right.
Steven Gerard: Yeah. That is correct. Remember they ramped up throughout the year last year. So the quarter-over-quarter was 533, you’re right.
Robert Kirkpatrick - Cardinal Capital Management: Super. Thank you so much,
Steven Gerard: Okay. Rob.
Operator: (Operator Instruction) I’m showing no further questions. I would like to turn the call back over to management for any closing remarks.
Steven Gerard: Yeah. Thank you so much. I’d like to thank everybody for calling in and listening to our staff who I know listens in. We’re off to a good start this year. Any time we can report growth in revenue and growth and earnings per share on a consistent basis. That's important, there is a lot of work ahead of us but as most of you know, this year is a year of our time in term of opportunities in the marketplace. So I thank you for your hard work and your dedication to see this and look forward to being able to report even better results in the second quarter. With that, I thank you all.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.